Operator: Good day, and welcome to the IAC Reports Q1 2014 Results Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Jeff Kip, Executive Vice President and CFO. Please go ahead, sir.
Jeffrey W. Kip: Thanks, operator. Good morning, everybody. Welcome to our First Quarter Earnings Call. With me today is Barry Diller, our Chairman and Senior Executive; Greg Blatt, Chairman of the Match Group; and Joey Levin, CEO of our Search & Applications segment. Barry will start the call with some introductory comments, then I'll give a review of our first quarter financial performance and our expectations for the second quarter and the year, then Greg and Joey will discuss the Match Groups and the Search & Applications segments' performance and outlook, respectively, and then I'll conclude with some color on the Media and eCommerce segments. Before we get to our results, though, I'd like to remind you that during this call, we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as we expect, we believe, we anticipate or similar statements. These forward-looking views are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our first quarter 2014 press release and our periodic reports filed with the SEC. We'll also discuss certain non-GAAP measures, which will include our new financial metric, adjusted EBITDA, which Barry will discuss in a moment and which we will refer to as EBITDA for simplicity during this call. I'll refer you to our press release in the Investor Relations section of our website for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. Barry?
Barry Diller: Thank you. It's nice to be with you all. For me, I think that the story this quarter is not on the consolidated earnings, but on the growth of our largest businesses and also some great stories in some of our developing ventures. What I want to do is to simply make 4 points before my colleagues fill you in more fully on the quarter. First on our accounting changes, there shouldn't be any worries, there's nothing nefarious going on here. We're simply changing from OIBA to EBITDA because it will allow easier comparisons to the other companies in our sector, and we're also reorganizing our businesses under their more appropriate leadership. That's it. Second, as we said last quarter, Greg Blatt has become the Chairman of the Match Group. We broke this out because we love this team and its expertise in subscription Internet products. We added 2 new ventures to the group because of their expertise, Tutor in the revolutionary Internet education space and DailyBurn in the high-growth fitness area. Third, note the healthy status of Search with sequential growth. These are our 2 large businesses, but we have 2 fine stories in other parts of the company. Our homegrown Vimeo is seeing tremendous adoption and HomeAdvisor is turning around and will be a substantial earner this year. Finally, a word on Aereo. While this is a small investment, it certainly created an awful lot of comment and noise as the beginning or the end of television as we know it. Its fate isn't material to IAC, but there is a lot of interest and controversy. We went to the Supreme Court last week, and of course, no one knows what its decision is going to be, but I'd just like to make one comment. Aereo has been criticized as a gimmick, as a way of avoiding copyright rules. In fact, it was built to comply with copyright law and I'm really tired of being accused of stealing anyone else's programming when we're not, and I'd never be part of any service that was doing so. We are no more stealing programming than the person who puts up an antenna to receive the signals he's entitled to receive. Kind of obnoxious for broadcasters to take away the signals they promised the public that they could receive directly, simply because they want to squeeze every dollar they can from consumers. Think if the 30-year-old Supreme Court ruling on video recording, went in reverse, abolishing video recording, what the world would have been like? stop Aereo and you stop technology. Well, thank you, all. I had to get that out. And now we turn it back to Mr. Kip and my colleagues, who will talk about everything else.
Jeffrey W. Kip: Thanks, Barry. In the first quarter on a consolidated basis, IAC earned revenues of $740 million and EBITDA of $108 million, about flat and down 15%, respectively, from the first quarter last year. Taking the segments one by one, in the first quarter, the Match Group's revenues increased nearly 10% and the segment's EBITDA decreased 1% versus the prior year. Although segment EBITDA growth was impacted by $11 million of losses this year in our investment businesses -- Tutor, DailyBurn and Tinder -- versus approximately $3 million last year, as well as a positive $3.9 million adjustment for VAT taxes this year. Excluding those impacts, segment EBITDA would be up mid-single digits over last year and Dating EBITDA by itself would be up as well. In the second quarter, we expect the Match Group's revenue growth to be modestly higher than in the first quarter with EBITDA growth mid-single digits after taking into account high-single digits to low-double digits millions of investment in Tutor, DailyBurn and Tinder during the quarter. For the full year 2014, revenue and EBITDA growth will accelerate from 2013 for both the Match Group in total, and the Dating business by itself, even expanded levels of investment for Tutor and DailyBurn within the group and significant expansion of investment in Tinder within the Dating business. In terms of overall investment levels, which could change, we're currently expecting to expand investment to roughly $25 million to $30 million in 2014 across Tutor, DailyBurn and Tinder combined. The Search & Applications segment had a solid first quarter, growing revenues sequentially in both an as reported and an organic basis. Growth was driven by the Websites business. The Applications business was about flat sequentially. Adjusted EBITDA margin was down approximately 400 basis points in the segment from first quarter 2013, primarily driven by significant marketing spend in the B2C business, spend which will be ROI positive for the year. Our full year outlook for 2014 remains the same for Websites, mid-single digit sequential growth in revenue each quarter, resulting in modest growth for the year. Our Applications outlook has changed somewhat, however, based first on some softness in the business. We expected to be modestly up sequentially in the first quarter, and we were flatfish. And secondly, on the accounting impacts from the acquisition of SlimWare, a small but rapidly growing PC software subscription business, which Joey will discuss in more detail shortly. We purchased SlimWare for a low single-digit multiple of actual cash flow. The deal is accretive on a cash basis. However, the deal has 2 accounting impacts, which will make the deal mid-single digits percent dilutive to Search & Applications' EBITDA in 2014. The majority of dilution is from purely an M&A accounting impact and not reflective of the company's ongoing profitability on either a cash or an accounting basis. The remainder of the dilution is the impact of deferring the subscription revenue over the subscription's life, which at this stage of the company's growth, turns positive operating cash flow into a negative impact to EBITDA. So we now expect that Search & Applications will see flat to modest revenue growth this year and that although free cash flow will benefit from the SlimWare deal, EBITDA will be modestly down year-over-year, given the SlimWare accounting impacts first, and then additionally, softness in the Applications business. In the second quarter, we expect modest sequential revenue growth and flattish margins for the segment -- flattish in the first quarter, that is. Media and eCommerce revenue together fell 14% year-over-year. If you exclude Newsweek and CityGrid however, the segments together grew 6%, driven by growth of Vimeo first and then also HomeAdvisor. EBITDA in the 2 segments combined was about minus $5 million, a significant improvement from the first quarter of 2013 if we exclude onetime pickups related to the closure of Newsweek print. In the second quarter, we expect about $160 million of revenue from the 2 segments and a few million in EBITDA losses. And for the year, we expect mid-single digits growth in revenue, high teens though excluding Newsweek and CityGrid, and low-double digits millions in EBITDA losses, driven primarily by expanded investment in marketing and mobile product at Vimeo. I'll now turn it over to Greg, and then Joey, to discuss performance of the Match Group and then the Search & Applications segment, respectively. Greg?
Grégory R. Blatt: Thanks, Jeff. Happy to be here to talk about the Match Group for the first time, I guess, in this configuration. Things are going well. We're excited about both where we are now and where we're headed. Obviously, we've changed the segment reporting, which is apparent from the release. We've also gone ahead and taken this as an opportunity to rationalize sort of the metrics that we report to help shed light on performance. Originally in the Dating business, when we started with the notion of Core and Developing, Developing was really a euphemism for Other. And the Core contained all the economically-relevant businesses that we had, and Developing was a mix of declining businesses and small early-stage growth businesses that swings, and PMC revenue really didn't affect the economic value of the business. Since then, we acquired OkCupid and built that up; Twoo, had built that up. We then acquired Meetic, which was its own public entity and so it reported discretely. And the reality is it sort of no longer made sense, in that, in the Core -- in the Core sort of grouping, there were 30 different businesses. OkCupid was in Developing, but if you moved OkCupid in the Core, it would have been the third biggest business in Core. So to call the one Developing and the other Core really didn't make sense, and breaking up Meetic as a standalone entity didn't really make sense. So what we did is we changed it to how we actually think about the businesses, which is Dating is a local business and each country is its own market. Each market has its own mix of products and services, business models, et cetera, that we build, acquire, grow -- for the sole purpose of building revenue and profit within that market, and we think that's the right way to report geographically. For simplicity's sake, we broke it into 2 groupings, North America and International. Currently, Europe is the substantial majority of International, although we hope that the non-European pieces expand, and that, that substantial minority lessens -- majority lessens over time. For now, obviously, we're reporting the segment in full, but our metrics are going to be limited to the Dating business until the Education and Fitness business become more material, although we will talk about performance and growth in those businesses supplementally as circumstances dictate. Let's talk about Dating. Dating is something we're really excited about right now. The market has been really growing, we think it's going continue to grow, and it really grows on 3 separate vectors. One is adoption, one is engagement and one is monetization, and I want to talk a little bit about each of the 3, sort of where we've been and where we think we're going. If you look back over the last 5 years on adoption, the number of U.S. singles who've tried Dating, a Dating product at least once, is up about 20% during that time period. That's the result of declining stigma, Internet -- Internet generation coming-of-age, et cetera, plus just regular growth in the single population. And we think that both those dynamics will continue. We know that the growth in the single population is expected to continue when we think of the decline in stigma, increasing Internet adoption at all generations -- it's crazy to even talk about that, there is still that adoption going on. We think that's going to propel that 20% growth over 5 years to higher levels going forward. There's also engagement, and this is really where a lot of the spectacular sort of growth has come and the use over the same 5-year period are up 20 -- sorry, up 50%, 2.5x the adoption increase. That's really driven by a couple of things. One of them is mobile, because huge migration to mobile has just made everything higher-engaging, stickier, it's easier to use these products and keep using them, it takes less sort of effort to do so and that dynamic is obviously going to continue. Also, we've got better products that yield better results and that keeps people in the category longer. The favorites that we have is that over this 5-year period, the number of relationships in the U.S. that start on these products are up 3x over this period. Now to more than 1/3 of all U.S. relationships starting on one of these products, which is the statistic we're excited about both from a business perspective but also just generally, it's a great thing to be doing and seeing the rewards come through our -- a big part of sort of what keeps us going here. And then I think the final piece is monetization. We've talked about monetization a lot. We've made really big strides in this area. This is a metric that's hard to talk about from a market perspective; we really have to look at our own products, because we don't really know, given the private nature of most of the people in this business, what other people are doing. But within each of our business lines, we've been able to meaningfully increase the number of people paying for our products over the last 5 years, all while holding or increasing the rates at which they pay us. Most notable in this is sort of the free-to-communicate category of OkCupid and Twoo, where 2 years ago, 3 years ago, no one was paying for these products. And now the number of people paying for these products is significant. This is generally driven by paywall optimization. In the beginning there was sort of the standard subscription pay-to-communicate wall. Since then, that wall has continued to thrive but we've developed other means of developing subscription businesses, transactional fees, et cetera. And we don't see that stopping. We keep getting better at it, and as I talked about last time, sort of the things we're learning in one place, we're migrating over to other places and we see big advantages there. And this is all very contrary to an analyst report that came out in the last couple of weeks, talked about sort of that we were driving advertising revenue, degrading customer experience. The reality is that less than 5% of the revenue in our Dating business comes from advertising. In fact, in the formerly Developing businesses, where that report was focused, the percentage of revenue that comes from advertising has declined meaningfully over the last 2 years. What's driving this business is subscription revenue. These are people who are paying for services that they want. And the overall majority of it, especially on the growth side, OkCupid, Twoo, is coming from adding discretionary features that people can choose to use or not. It is really an optimized paywall and they have a good experience if they don't pay, and if they pay, they get enhanced features, enhanced placement, et cetera, and it's not affecting retention, it's not degrading user experience, it's really the fuel that's been driving this business, so we're really, really excited about that. I think that the key thing here is that it sounds a little cheesy, but helping someone find someone special is a very high value proposition, and what we're learning is that if you find the right place, the right time and the right way to ask people to pay for that value, they will do so and do so gladly. So from an overall category perspective, we're very excited. Let's talk a little bit about Tinder, which is doing a lot of work on 2 of those 3 fronts, which is engagement and adoption. A large number of Tinder users, I think you know, are new to the Dating category. This is driven by a large number of under 25-year-old users, which has never been a demo that we've been able to attract effectively before. This drives a lot of incremental adoption. This is bringing new people into the category that would not otherwise be there. It's also a big driver of engagement. Tinder users who are not new to the category are approximately 50% more likely to use multiple products than category users generally. So you've got your 2 dynamics there, which is new users coming in and existing users using Tinder in addition to multiple products, and that's really great for engagement, really driving up both of those metrics. And this is not on small numbers. I mean, Tinder is getting to be a meaningful business. March global downloads were up 15% sequentially over February, and up 300% over the 2013 average monthly number. The U.S. momentum continues strong, 7 consecutive months of sequential download increases. And given that Tinder has generally better retention characteristics than other products in the category, this is getting to be a very, very big user base. I think it remains unclear what Tinder will ultimately be. It's clearly a very effective Dating product. I think there's a chance that it's something more messaging, social discovery beyond dating, other forms of discovery, it's really so early in its existence that I think its definition has not yet been written. And, yes, we're not yet monetizing the business, but really that's just a matter of time. Even if all we need was take our existing monetization playbook, the discretionary subscriptions, à la carte transactions, background advertising, we'd generate huge returns off these numbers. And given that -- given the unique nature of Tinder, we think it presents sort of its own unique monetization opportunities as well. So we have very little reservation about the ability for this to be a meaningful business. Turning to the quarter, I think we said in the last call, Q1 would be our lowest of the year, Jeff sort of walked through some of the numbers, generally where we anticipated. North American business was really driven by declines in acquisition efficiency, driven by changes in our Yahoo! deal, which I mentioned previously; general inflation in advertising pricing, which is up about 5%, 6% offline and on. And frankly, aging creative [ph], which we will be turning out. We also had a decrease in renewal rates, part of that was due to cost, but because we had a substantial package mix shift in People Media, the longer packages with sort of push terms into sort of future quarters and we took a hit on that Q1. Also had an unexpected hit from a significant amount of credit card turnover resulting from the Target security breach and some others, which just sort of knocked some people out of the pool when the regular renewals come up. And lower rate, lower sort of monetization rate, which we talked about as we said sort of over the course of last year, monetization rates came down. Over the course of this year, we expect them to build back up and that's really the timing of the dynamic pricing sort of initiatives that we've talked about. International was driven by very similar things with the addition of anniversarying the acquisition of Twoo, which came in Q1 last year. For the rest of the year, we've got a host of monetization, acquisition and conversion initiatives rolling out, which give us a lot of confidence about the trajectory we foresee. Just as an example, Match launched its iPhone app last Thursday. We actually didn't have an iPhone app, we have, as we've mentioned, a big mobile business, but for various reasons we did not have an app in the I/O store. In just a few days, it's already the #4 highest grossing app overall, excluding the gaming category, and given the average lag time that we have in Match between downloads and subscriptions, you're not grossing until you get the subscription, we expect that -- we frankly expect that #4 ranking to increase. And that's translating into real numbers. Sunday and Monday, which is sort of just a sample size a few days in, our overall regs were up week-over-week by 25%, with 20% of all those regs -- 20% of all regs coming from the I/O store. So this is meaningful lift in our business, while I don't expect that level to sustain itself, clearly, this and several things like it are giving us a lot of confidence. Just wrapping up, in the Dating MAUs for our business overall, they're up approximately 50% year-over-year. As we know, MAU growth leads to payer growth, which in turn leads to revenue growth, that sort of in-sequence, so we feel really good about sort of the tailwinds this gives our business going forward. And as Barry mentioned at the beginning, on top of the Dating business, not as meaningful contributors this year or probably even next, but thereafter. We've got great entrants in the $50 billion fitness market, $10 billion education market, these are markets where technology has not yet sort of implemented real transformation, we like our entrants in it and we feel really good about the long-term growth prospects it gives us. Joey?
Joseph Levin: Thanks, Greg. Q1 was a solid quarter for the segment. We returned to sequential revenue growth and we continue to be excited about the progress and prospects we see for high-quality content publishing on the web. Websites' revenue was up 14% sequentially on the strength of About.com and with the help of the acquisition of the assets from ValueClick. As a result, our mix of profits from the content sites, excluding Ask, continues to grow as a percent of total and is now nearly 1/3 of the full segment EBITDA. With the added focus on the new content properties, we also switched our metric from queries to page views. The prior metric wasn't able to tell the full story because it didn't reflect audience engagement on the content sites, so we felt it important to update the page views. Page views at Websites were up sequentially on both desktop and mobile, with mobile and tablet growing much faster and now combined, representing 44% of total Websites page views. We now have traffic growing sequentially at About, Dictionary and Urbanspoon, and in Q1, as you know, we added Investopedia and PriceRunner to the group. While mobile was a meaningful contributor to the growth, we also continued to work through the playbook, upgrading the best practices across the sites. This effort included successful expansion in the marketing-driven user acquisition, one of our core strengths and key competitive advantages. We're also seeing some nice wins on organic traffic as we've been cleaning up the basics, improved sites with lighter and cleaner pages, responsive design and of course, most importantly, more and better content. At About.com, we added over 150 new experts to our rigorous recruiting and screening process since we began a focused effort at the beginning of Q4, allowing us to open or reopen over 100 new categories and continue to improve in others. The new experts added in Q1 exceeded new adds in any quarter for years and coupled with the technology and process improvements in our content management system, we're driving double-digit growth in our high-quality, long-form content creation. So we continue to move vigorously along the lines we outlined, transforming and delivering best practices to a great set of branded content properties and we've got an exciting roadmap for further improvements and innovation. We continue to experiment on mobile monetization and we saw small lifts in mobile RPMs in the quarter as a result. On monetization across the board, we're also starting to benefit from investments to we've been making to our ad systems, particularly as we look at -- look to optimize delivery across the stack of direct sold, programmatic, native ads and search. On About.com in Q1, we are able to lift CPM on ads sold programmatically by 13% sequentially over Q4, and over 46% year-over-year, all without increasing the number of ads we show. And we still believe we have upside here as programmatic tech continues to improve and we start to nail the opportunity in direct sold premium ads. Turning to Applications, we continue working our way back towards growth. The momentum has continued in our business over the last few quarters, which grew double digits sequentially and offset continued challenges in our B2B business. While we expect to resume sequential growth on the B2B business in Q2, the lengthening sales cycles and a tough competitive market there, may continue to be a drag on earnings growth for the year. We're also excited to officially announce the acquisition of SlimWare, a small but rapidly growing subscription software business with their respective product suite, a solid team and great momentum. SlimWare represent a very attractive opportunity for us, not only because of the price, but strategically, because they figured out how to make a consumer subscription model work successfully with downloadable software. SlimWare software products today, deliver PC maintenance and optimization tools and combine a desktop application with a cloud-based set of back-end services that enable consumers to keep their computers up-to-date. As an added bonus, the team has cultivated a strong community of users that provide meaningful crowd-source data, including product reviews and technical analysis, to enable a more accurate and effective service. As a subscription model rather than a searcher ad-supported model, SlimWare is currently cash flow positive and we expect the business to continue to grow nicely and profitably, standalone. I also believe we can further accelerate the growth once we plug it into our distribution platform. Jeff walked through the accounting issues that will impact the P&L this year, so I won't rehash those. But in sum, we're really excited about the Search & Applications business. I think we're in the first or second inning in our content strategy, and we're already seeing the fruits of our effort with the strong momentum in that business. And we see new and exciting opportunities in the Applications business, especially with things like SlimWare. So with that, I will turn it over to Jeff.
Jeffrey W. Kip: Thanks, Joey. We're obviously feeling extremely positive about the developments in our 2 larger businesses. We also continue to be very happy with returns we're seeing on our investments in our Media and eCommerce businesses. In Media, Vimeo continues its strong growth trajectory, comp score unique viewers are up 56% to an all-time high of 171 million in March. Vimeo's audience has expanded across all devices. Vimeo's mobile audience actually exceeded desktop for the first time this quarter, and we're making significant investments in our mobile product and platform this year. Vimeo revenues were up 60% in the first quarter and Vimeo now has over 470,000 paying subscribers with increasing per customer value and life. The Vimeo On Demand open VOD distribution business launched in the first quarter last year, is also gaining real traction without any significant marketing or promotion. Vimeo On Demand now has over 8,000 paid titles in its catalog, and monthly transactions have tripled over the last 6 months. During the first quarter, we also announced plans to invest in more high-profile content for the platform, a recent example is the film, In Your Eyes, by Joss Whedon, released exclusively through Vimeo On Demand immediately following its world premiere screening at the Tribeca Film Festival. We view the development of Vimeo On Demand as the online equivalent of the rise in premium pay television: great content, no advertising, premium pricing. We plan to continue to invest in the VOD platform and content catalog throughout 2014. Likewise, HomeAdvisor had a great quarter, registering its first quarter of double-digit revenue growth since the first quarter of 2012 and its first quarter of double-digit EBITDA growth since the third quarter of 2012. Additionally, both service requests and accepts saw positive growth for the first time since the first quarter of 2012, and active service providers grew 15% year-over-year. After a difficult rebranding last year, the business is recovering well and we're very optimistic about its prospects. We have several other bright spots among our Media and eCommerce businesses. Just to mention 2, we've seen great traffic growth at The Daily Beast, with unique viewers up over 30% year-over-year to roughly 18 million, and at CollegeHumor, where we saw monthly unique viewers rise 70% to an average of 19 million for the quarter. We continue to be excited about our entire portfolio of businesses. With that, we'll take your questions. Operator?
Operator: [Operator Instructions] And we'll take our first question from Ross Sandler with Deutsche Bank.
Ross Sandler - Deutsche Bank AG, Research Division: I just have one question for Jeff and then maybe one for Joe -- Joey. Jeff, a question on capital allocation, you guys didn't buy back any stock in the quarter, yet the liquidity position's over $1 billion. And looking back in history, the only time you haven't bought back shares is when there's some kind of strategic situation going on, so can you just give us an update on capital allocation and maybe what would have prevented you guys from doing buybacks given the market environment right now? And then Joey, you mentioned a bunch of new initiatives, can you give us a little bit more color on which of those is driving the strength that you're seeing in the Websites' revenues sequentially? Are those initiatives organic versus paid traffic and where do you think we are in terms of Google smart pricing and are we over the hump on those issues?
Jeffrey W. Kip: On capital allocation just to take your first question, our view today is no different than it's ever been. We will buy back opportunistically at -- in any given quarter. We didn't buy any this quarter, we didn't buy any in the third quarter last year, but we've obviously bought back a tremendous amount, $230 million approximately last year in share buyback, $716 million in 2012 and almost $3 billion since the beginning of 2009. So I think we're just the same.
Barry Diller: We only talk about what we've done or not done, so to speak. We don't predict, we don't comment on why or whatever. We're opportunistic and nobody should read anything into whether we buy or not. Over time, we've just been very clear that we are buyers of our stock and that's been true for more years than my little brain can count. So there that is. Joey?
Joseph Levin: Yes, on the Websites side, it's a few things. It's both organic and acquired. I mean About is doing very well, we continue to be pleased with all the progress we're seeing there in terms of how they're growing content, how they're growing traffic on both an organic and a paid side. Obviously, we had a ValueClick in the quarter, and so that helped on the growth too, sequentially. As it relates to Google smart pricing, that change, we are -- sequentially, we are clearly growing that, which is good. I think we're still -- if you go back to comping to Q3 '13, I think we still have a few more quarters to comp to -- on a year-over-year basis or something better, but sequentially, we are making progress and clearly improving there.
Operator: We'll take our next question from John Blackledge with Cowen and Company.
John R. Blackledge - Cowen and Company, LLC, Research Division: Just a couple of questions. Maybe, Greg, if you could just discuss timing of Tinder monetization and what are the unique monetization opportunities for Tinder aside from using kind of the traditional mass monetization playbook and what's the current user base? And then separately, how should we think about prior Local, Media and Other guidance to the new Match Group and Media and eCommerce segment guidance?
Grégory R. Blatt: All right. On monetization of Tinder, I think, look, this is still an early business. I think you'll see us begin to monetize it soon, but I think that will be more in terms of nailing the business model as opposed to a push for maximum revenue. I think when that sort of comes will depend on a whole host of things. It's really a question of -- it's certainly big enough that you can start to monetize it now, but I think there's priorities -- this is a small sort of startup-like team that we're building, and everything you do comes at the expense of something else, so I think that -- I think that you'll start to see certain things, but I wouldn't be looking for big P&L impact in the near future. I think in terms of what opportunities Tinder present itself that others don't, I think there are a couple of ways. One, advertising has not been a great -- has not been a great monetization vehicle in this category, traditionally. I think Tinder has the possibility of changing that. I think the nature of the Tinder user experience presents itself -- presents real opportunities for native advertising that certain of other products don't. I also think that Jeff -- each business, because of the way its feature set works and product works, present sort of its unique opportunities for discretionary feature monetization and I think Tinders are unique in that way. And think just the pure engagement levels of Tinder, which are just so much higher than our other businesses, provides the sort of more à la carte lower, lower priced transactions, priced through the App Store, but in high-volume, create meaningful, meaningful revenue where as a Match, with its part subscription logic doesn't present those types of opportunities. Why don't you take the bridge question, Jeff.
Jeffrey W. Kip: Listen, I think what we said last time was that we spent $15 million or so investing in DailyBurn and Tutor a year ago, and that we'd expand that investment this year, and that the rest of our investments in what are now the Media and eCommerce segments were going to be low-double digits millions, which I think is what I just said. And I think we commented on, if you throw Tinder in with Tutor and DailyBurn, we get to $25 million to $30 million, although that number could change. To Greg's point, these are early-stage businesses that we only have interest in making great, and so we're going to opportunistically invest and then it could pull in here or there, or we could expand.
Joseph Levin: Yes, I think the nature of these businesses is such that the loss numbers tend to go up when things are going well, at this stage. And so if you see momentum, you double down. I'll give you an example, DailyBurn this year, Q1 is a big quarter in the fitness business and we invested in marketing and we grew in the -- Q1 ended subs 7x higher, it's not -- 7x higher than the prior year. And just over the course of the quarter alone, we grew subs by 300%. So -- and that's on loss marketing, that is lifetime value subscription marketing, that's a loss number but that kind of -- but it's profitable on a lifetime basis, so that kind of thing enthuses and drives further investment not less. Tinder has got great momentum. Jeff gave you the numbers for right now and we'll sort of update you as we go, but certainly, not numbers that we can lock into at this point.
Operator: Next we'll go to Jason Helfstein with Oppenheimer.
Jason S. Helfstein - Oppenheimer & Co. Inc., Research Division: I have 1 housekeeping and then just 2 questions on Match. Can you talk about that $30 million purchase of noncontrolling interest on the cash flow statement? Does that have anything to do with Tinder, I thought you want to comment. And then secondly, on Match, is it a fair way to think about the fourth quarter -- the first quarter sub change versus the fourth quarter, so basically North American subs were up 11% in this quarter -- paid subs, Core were up 9% the way you previously reported it, is that the right way to think about it? The 9 go to 11, or just us bridge that. And then just lastly, can you just talk about the long-term guidance for Match? Previously it was $500 million of OIBA. In 2016 [ph] , you're moving to EBITDA; if you would just want to give some color around that.
Jeffrey W. Kip: Sure. On the $30 million question, I will confirm that over the course of the quarter, we bought in all the minority interest in Tinder, such that today, we own -- we, together with management, own 100% of the business. I will say that we bought in -- that the amount we spent to buy that in was greater than the $30 million in the cash flow statement. And the accounting does not match up with the economic reality. I'm not going to tell exactly what the valuation was, I'm not going to tell you exactly how much we spent. There are confidentiality agreements, et cetera, but I know that people have tried to back into that $30 million and it's not doable, let me put it that way. But we do -- we do now own 100% together with management. On the Core issue or the Core to North America-ish, look, I think it's -- whenever you do a change like this, it's a little hard to bridge. I will say that the big shift in North America are that OkCupid and Match Canada, effectively both of which are big grown businesses came into Core is the way to think about it. And then on the other side, Twoo, which was in Developing sort of went into international and then you have LatAm and all that sort of thing. I think in that 11%, I think that there is higher growth at OkCupid and Match Canada and lower growth in what was traditionally Core. And that gets you to 11%, and that lower growth in traditional Core was driven by the things that I talked about, which was the increase in acquisition efficiency, the increase in terms, and we think, as I said on the last call, I think that Core, although we're not going to continue to report it, will have a comparable this year to last year, that's what we think. Things like the App Store entry last week and a whole bunch of other things are going to drive that number back up, and over the course of the year, we expect the PMC growth numbers to rise. What was the final question there?
Barry Diller: Final question was about the $500 million, which [indiscernible].
Jeffrey W. Kip: It was always -- the $500 million was always EBITDA. I've always talking about it from an EBITDA perspective. And also again, my statements stand, but I do want people to re-examine them, which is it's not a $500 million absolute stake in the ground. It's a way of looking at the growth of the business and I think that -- I still feel very good about the fact that's a reasonable way to look at the opportunity. We're not including fitness and education in that number, so that's exclusive of fitness and education. I think it becomes, depending on what we do with Tinder, it becomes easier or more difficult depending on what happens. There's a bunch of different ways to get there. I feel good about it and as I said, I think last quarter, I don't know if it's going to be $479 million or $521 million, it's 3 years away. But as a general way of thinking about the size, nothing has diminished our enthusiasm or confidence in that outlook.
Operator: And next we'll go to Peter Stabler with Wells Fargo.
Peter Stabler - Wells Fargo Securities, LLC, Research Division: A question for Joey. You called out some of the progress you've been making on pricing in the Websites business, I'm wondering if you could just talk a little bit broadly about programmatic. The shift to programmatic hasn't been universally hailed as a positive across the industry, it sounds like you guys are getting some good traction on pricing year-on-year. Any additional color would be appreciated.
Jeffrey W. Kip: Yes, it really depends on your starting point. So I think the biggest place where we're doing programmatic is at About.com and I think that when we picked up the asset and for the first period that we owned it, it was woefully behind the market. I mean, we didn't have the premium ad -- the premium ad sales group really communicating with the programmatic ad sales group in any way, and we didn't have that whole stack of things optimized. So just putting that all together and having it all work on a common system where you can basically optimize the waterfall of that, really sort of dramatically changed that. I mean we were in -- I think that we were years behind the market in looking at programmatic and using programmatic technologies. So where we've improved there is really just getting up to market. Now I think we can start to really innovate on things. But again, all that, by the way, has been with the same number of ads. So we're not increasing the number of ads on About.com at all, except actually in one small area, the search results pages. But other than that, the article pages that get the vast majority of the traffic, we're not increasing the ads. What we're doing generally is improving the ads, improving the placement of the ads. We're on a 1 ad in, 1 ad out policy, so when we bring in a unit, we'll take an old unit out and just that sort of optimization has really dramatically transformed that. And I think as we start to roll that out to the other properties, we'll start to see more efficiencies there.
Rick Summer - Morningstar Inc., Research Division: One quick follow-up, if I could, on the Websites business. Could you offer any color about query, growth and revenue per query there? We understand the restructuring, but any color would be great.
Joseph Levin: I think on revenue per query, there is -- I'm trying to remember, I think that what we said last quarter still stands in terms of what we think of the trends in query growth, which is we will be growing from here on queries. And revenue per query is -- again, it's not a totally relevant metric anymore, which we explained it -- queries really only cover the search businesses and didn't significantly cover the content business, so we really should focus on page views now. But revenue per query, I believe...
Jeffrey W. Kip: It's up in Q1 in both businesses over Q4 and we expect it to be at roughly the level that it's now through the year. I mean things could change, but that's our current expectation.
Operator: And next we'll go to Mark Mahaney with RBC Capital Markets.
Mark S. Mahaney - RBC Capital Markets, LLC, Research Division: I just want to ask a basic question about the potential spin for the -- all the Match businesses. Let me ask the question this way, is there anything -- structurally, is there anything about the business itself that you think makes it not yet ready for a spin? Or do you think the conditions are all there to spin the asset if you wanted to do so today?
Barry Diller: Well, it's not a precise measurement. We have a lot of experience in this area, as you all know. And when and if -- and when and if are really accurate. We don't have a when and even precedent to that, we don't have an if. So there's no way you can -- the speculation here is lovely, but as I said, there's no precise measurement. And again, I just repeat, when and if we do, we will, and I can't say any more than that. There is nothing more to say to it than that. What do you want to add Mr. Blatt?
Grégory R. Blatt: The direct answer to the question though I think is -- I don't think there's any major structural problem to do it. I mean, if we wanted to do it -- the issue -- the decision-making process is the same as its always been. It's a subjective process, there is a right time and a wrong time and there is an if and...
Barry Diller: Or there is a no time.
Grégory R. Blatt: That's right. There's an if and there's a whole bunch of things that go into it. But certainly, I think that there's no structural deficit to deal with that.
Barry Diller: Well, there's never been a structural reason. We've always structured everything so that we can spin anything off. And God knows we have -- we've gone in that direction 7 times so far.
Operator: And next we'll go to Heath Terry with Goldman Sachs.
Heath P. Terry - Goldman Sachs Group Inc., Research Division: Just a couple of questions. I guess, Greg, completely understand the decision to pull back on some of the disclosure around Match, but with the deceleration in paid subscriber growth, can you just give us some context around where the growth in the business is happening, whether it's in the kind of recurring subscribers that you have at Match versus the freemium subscribers at sites like OkCupid? And then Joey, I guess can you give us any sort of sense of the contribution from ValueClick to the search business this quarter? I guess if we assume roughly $34 million in contribution, which is what we are assuming for Q4, then it would suggest that the search business declines actually accelerated this quarter. That's really rough math, so I'm sure it's probably wrong, if you could kind of help correct us there, I'd appreciate it.
Grégory R. Blatt: On the first question, yes, again, I don't -- not to quibble, I don't think we've really pulled back on disclosure. We just moved basically, again, we basically moved OkCupid into Core and Twoo into Developing because to call big business in Developing that are bigger than Core just didn't make any sense anymore. So we're trying to give the same level of disclosure and there's a temporary dislocation but then you'll have this disclosure and it's as fulsome as the last, I think. So I don't think there's an issue there. I think that clearly though, as we've said for a while, different ones of our businesses have different growth trajectories within each market. Over the last 12 months, OkCupid has grown faster than Match and People Media. There was a time People Media was growing faster than Match, but these things sort of rise and fall based on a variety of things. I think there is an error in your question, which is the OkCupid subscriber is not different than the Match subscriber, meaning it is literally the exact same thing. It is a monthly subscription. They pay it every month. There are packages. The only difference is the bundle of features that you pay for. In Match, you pay for one set of features, on OkCupid, you pay for another. In fact, the net contribution of an OkCupid subscriber over a lifetime is equivalent to the net contribution lifetime of a Match subscriber in terms of lifetime value. So it's why these distinctions sort of don't really make sense. We've got a market, we've got a bunch of different products. The nature and quality of the revenue coming from OkCupid is the same as for Match in really, virtually every way. So -- but certainly, OkCupid and Twoo in their respective -- North America and International, have been growing faster for a while than the rest of the business. Although, again, it jumps around. The launch of the iPhone app in the App Store, we've sustained that kind of growth, that reversed itself. We've got 4 other things coming online. These are about feature sets. Unfortunately, given so many businesses, we can't launch everything we have planned at the same time and last year, we launched subscription and other things on OkCupid that drove big growth. This year, the roadmap is much more focused on the Match business and People Media, things that are going to drive growth there, and so I expect that those growth rates to sort of merge over the course of this year.
Joseph Levin: On ValueClick and organic versus sequential growth. The Websites grew organically, sequentially, meaning excluding ValueClick, Websites grew organically. The -- I think low- to mid-single digits. And then in terms of EBITDA overall, if you look at the down 16% year-on-year for the quarter, the big contributor to that was the spend we did in B2C marketing. We saw a big opportunity to -- for ROI-positive spend, and when we see those, we spend into them and we're generally very good at predicting the ROI builds [ph] , we feel good about that spend. So that was really more of a choice in terms of what we decide to do there in terms of profit. Jeff, you can add to that, but I think that answers the question.
Jeffrey W. Kip: No comment, that's right.
Operator: We'll take our next question from Brian Fitzgerald with Jefferies.
Brian Patrick Fitzgerald - Jefferies LLC, Research Division: We were hoping you could help us think about the strategy around Vimeo as you incubate it. Right now, are you trying to aggressively grow user levels, maybe maximizing the user base or are you more focused on driving near-term revenue potential, maybe both? And then on the monetization side of Vimeo, how do you think about pre-roll advertising versus the efficacy of in-stream versus display versus subscription?
Barry Diller: Well, last first, which is -- Vimeo is not an advertising product. We do not do -- the only kind of advertising we do -- we do not do display, we will never do display advertising. But the only kind of advertising we do would be the deepest kind of native advertising, where an advertiser has a story to tell and there's some sort of, underneath, so to speak, some mostly indirect relationship to the products that they have. We feel very strongly that Vimeo is a differentiated product, particularly from YouTube. And part of that differentiation, one of the strongest parts is that it's clean, it's safe, there is nothing there other than the video, which is protected by the person who puts it up, and we feel very much that, that is why Vimeo is having such growth, is because it is emerging as the trusted video brand for user-generated video. In terms of what the strategy is, the strategy is on all fronts. We are absolutely after building, continuing to build our audience, which we have been doing. We are after subscriptions, which we have been growing. I think it's remarkable that we have this many subscriptions, in fact, in this short a time being in the subscription side of Vimeo tools and services part of Vimeo, and we're starting to build Video On Demand, so there's really 3 strategies. They each, I think, reinforce the other. And we're very, very aggressive and intend to be aggressive in furthering those strategies. The goal here is not anything to do with near-term revenue extraction, it is to build this brand into something that is not only enduring, but it is a real differentiator in the whole space of video.
Operator: And we'll next go to Eric Sheridan with UBS.
Eric James Sheridan - UBS Investment Bank, Research Division: Barry, following up on that, with respect to Vimeo, you've talked a little bit recently about original programming for Vimeo and we see the big push by a lot of parties around online video to invest in original content, maybe help us understand sort of your plans around investing in original content as the driver for the subscription element of that business.
Barry Diller: Sure. This is -- it's a very long-term project of ours on Video On Demand, we've just really begun. We are not at this time going to announce doing television series or announce doing, call it a house of cards-like program though I would hope in time, we would be able to. What we are doing is we're really in the middle part of the long tail, where independent film is ripe for us. The Joss Whedon recent example, with The Avengers series has made his own film, and is offering it $5 a pay-per-view. These are all -- relatively small efforts. Until we build our base, know what our audience is interested in. We have said that we're going to put probably $10 billion into program development at various times; that's not a big number in video terms. But we absolutely believe over time that we will build up a substantial Video On Demand business. But the flavor of the day, everybody and their mother plunging into high-cost video, over-the-top programming, I think is great. But for us, it is in our way of doing it, step by step by step, find out what our audience is interested in, acquire products, stimulate production, et cetera.
Operator: And next we'll go to Jordan Monahan with Morgan Stanley.
Jordan Monahan - Morgan Stanley, Research Division: Actually just 2 quick ones, if I can. I know Match has been discussed quite a bit, but I have just a higher level, bigger picture question about online Dating. I think if we look at online Dating in, say, 10 years ago, it seems like one of the big barriers to entry was actually generating an ecosystem that had enough participants to have effective matches, and now with Facebook's ability to use its APIs and anyone's ability to kind of develop an app on top of that, has that changed in your view the barriers to entry to building a successful Dating app and do you actually see the competitive environment as any different than it might have been kind of pre-Facebook? And then just a quick question on search. I'm wondering if you have any updates on your distribution strategy just given some of the changes toward mobile tablet and so on, in the last couple of years?
Grégory R. Blatt: I think it's an interesting question. It's a question that we sort of, were preoccupied with 4 or 5 years ago, which is, were the fundamental dynamics of liquidity construction going to change with Facebook and everything else? The reality is it hasn't. If you look back over the last 10 years, there have been -- there've been hundreds, if not thousands, of entrants into the category. There was a time when I was first at Mantra, I just had to stop reading my TechCrunch because every day there were 5 new sites coming in and I just couldn't -- it was just ridiculous. But very few have come up and achieved that scale. Over the last 10 years, really the only ones are OkCupid and Tinder. And OkCupid did it over a long period of time and they did it sort of brick by brick. And Tinder did it very quickly, but Tinder is the only one who's done it very quickly. And Tinder didn't do it using Facebook distribution. Meaning, there was a period 2 or 3 years ago, Hughes [ph] for instance took big advantage of this when the window was open, where Facebook virality sort of enabled people to build these businesses very quickly. They then shut that down. You can no longer use the feed in that way. You can't spam people, you had all these tactics that were usable for a brief window are now gone, and Tinder has grown through creating a brand, and they did it themselves. I mean they used Facebook to authenticate sort of identity. But they don't get distribution on Facebook. They got distribution through word-of-mouth, people telling other people, and using it. And that's magic, but it's very hard to do and it's as hard to do today as it was 10 years ago. And so I think that the concern/opportunity we once had about sort of Facebook and virality, that window I think is gone. And I think that this is hard, it's not harder than it ever was because you just had that many more big powerful brands in the space, and it is a brand business. I mean OkCupid is a brand, Match is a brand. Tinder is now a brand, a very powerful quickly sort of built brand, but it's hard to do. So we actually don't -- when we look at this all times, we have new entrants into the category, et cetera, and it's not to say there will never be another new entrant, I'm sure there will be, that's the history of this. But it's very rare that one breaks through and becomes something enduring. There are still only a handful of them in the entire space, and other than Tinder, they've all been around for a long, long time. Joey?
Joseph Levin: So on the Websites side in terms of distribution strategy, it is our content really is fundamentally what we call full content, as opposed to push content. Meaning we make the kind of content that people are looking for and our job is to get it in front of people, wherever they are. And I think we've done a very nice job getting that in front of people on mobile devices, as well as on desktop, et cetera. I think that the -- we have a huge portion of our traffic now coming from mobile and tablet to all the Websites. And we continue to look for new forms of distribution there, but wherever people are doing searches, wherever people are doing queries, wherever people are asking questions, we find a way to put our content there. On the application side, there isn't a perfect analog in terms of that business model, that business model being search monetized. But one service that, that application provides in addition to distribution for our services is that the application model offers a monetization solution for developers. And developers on mobile, as much or even more so than a desktop, need monetization solutions, they need help in monetization. And we -- while we don't have anything to report yet there, we're continuing to experiment with things there, we're continuing to work with various developers and hope to have something to discuss there soon.
Operator: We'll take our final question from Kerry Rice with Needham & Company.
Kerry K. Rice - Needham & Company, LLC, Research Division: A quick question on HomeAdvisor. It appears that the marketing has been ratcheted up with that business. I wonder if you could talk a little bit more about the strategy and what you plan on doing to continue the turnaround there and if you're going to continue to raise your marketing levels.
Jeffrey W. Kip: Yes, listen, the increase in marketing last year and the increase this year is largely TV advertising. On national cable TV advertising, we've had very positive ROIs that led us to choose to expand it, and it's been very effective at attracting both SBs and consumers. So we're pleased there, and our strategy is what it is I think with most of our business, which is to differentiate and build a great product, and to build a great brand. And we think that the business has kind of turned the corner on building its brand, we hope, and it's on its way on a good trajectory. And thanks, everybody, for joining.
Operator: This does conclude today's presentation. We thank you all for your participation.